Operator: Good afternoon, and welcome ladies and gentlemen to the Acacia Research 2019 Quarter One Year-End Earnings Call. [Operator Instructions] I will now turn the conference over to Mr. Rob Fink. Please go ahead.
Rob Fink: Thank you, Operator. Hosting the call today are board members, Al Tobia and Clifford Press. Before beginning, I would like to remind you that the information provided during this call may contain forward-looking statements relating to current expectations, estimates, forecasts and projections about future events that are forward looking as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally relates to the Company’s plans, objectives and expectations for future operations and are based on the current estimates and projections of future results or trends. Actual results may differ materially from those projected as a result of certain risks and uncertainties. For a discussion of such risk factors and uncertainties, please see the Risk Factors described in Acacia's annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. In addition, during the call we will present non-GAAP financial measures. Please refer to the our disclosures regarding presentation of non-GAAP financial measures, and other notes that were included in yesterday earnings release, as well as the 8-K filed with the SEC. I would like to remind everyone that a press release disclosing the Company’s financial results was issued yesterday at approximately 4:05 Easter Time, which may be accessed on the Company’s website at acaciaresearch.com under the News & Events tab. With all that said, I would now like to turn the call over to Al Tobia. Al, the call is yours.
Al Tobia: Thank you, Rob, and good morning, everyone. This quarter, we achieved an important milestone with a successful reconstitution of our Board of Directors. Yesterday, we announced that Isaac Kohlberg, Senior Associate Provost and Chief Technology Development Officer at Harvard University; and Luis Rinaldini, CEO of Groton Partners and former Vice Chairman and Global Head of Telecom Mergers & Acquisitions at Credit Suisse First Boston, have joined our board. This follows the recent additions of Katharine Wolanyk and Maureen O'Connell to our board in January. We are also pleased to announce that Maureen has been named Chairman of the Board. Isaac is a renowned IP expert. He is an established leader who has been a pioneer in connecting academic innovation and commercial development.  Luis has enjoyed an impressive career in finance, technology and health care with the recent emphasis on matters related to pharmaceutical royalties. Further, Luis's broad transactional experience in IP will be immensely valuable to our organization. Isaac and Luis join Katharine Wolanyk, who we appointed to the board in January. Katharine was named a world leading IP strategist by IAM in 2015 through 2018. She currently leads Burford's intellectual property business. We have added four directors now over the past few months with exceptional IP governance and M&A expertise, focused on technology and life sciences. We did not rush this effort. It was very important to identify and attract candidates who are independent with exemplary qualifications. Clifford and I are very proud of our success in this area. We were supported throughout by our first recruited Director, Allen Bradley, who did not hesitate to join us in the immediate aftermath of the previous shareholder meeting and join our board rebuilding process. We all owe him a great debt of gratitude. We will shortly be finalizing a preliminary proxy for the 2019 Annual Meeting with significantly enhanced corporate governance policies. During the first quarter, we closed the acquisition of two patent portfolios for a total of $3.75 million. This number is shown on our balance sheet under recruit patent and acquisition costs. Our team is prudently advancing a growing pipeline of opportunities and proceeding with financial rigor. As noted, we believe the IP market to be deeply dislocated. While we are actively evaluating opportunities, we continue to believe it is critical to maintain a solid balance sheet and expanded financial flexibility. I would now like to turn the call over to Clifford for a review of our Q1 results.
Clifford Press: Thank you, and good morning. I'll provide an overview of the first quarter financial results, but more detail is available in the press release issued yesterday and also in the upcoming quarter report on Form 10-Q, which we will file with the SEC. Cash and short-term investments totaled $167.9 million at March 31, up approximately $2 million from $165 million end of December 31. Revenues for the first quarter, as expected and previously shared, were $3.4 million. We currently have eight active assertion programs involving the legacy portfolio. While we do not expect additional settlement – while we do expect additional settlements and license revenues to be generated in 2019, these opportunities are likely the last significant revenues from our legacy portfolio. Our new licensing and IP team is working to invigorate the patent pipeline. As activity to identify new investments and deploy capital has increased, so has the scale, scope and quality of our deal flow. With the new board now in place, we are working diligently to appoint an executive team. We shall progress to report on this effort by the time we file our second quarter results. In closing, I would like to reiterate our guidance for the current operations at Acacia. The remaining portfolio at Acacia has a limited number of remaining licenses to be negotiated. For the full year, we expect revenues of approximately $25 million, and net cash from operations of around $5 million before investing a budgeted $20 million in new IP. We believe that our current IP team can research and process a $20 million run rate of new IP CapEx. I'd now like to open the call for questions. Operator?
Operator:
Operator: And with no questions at this time, we will conclude today's conference. Thank you for your participation and you may now disconnect.